Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Rite Aid Corporation Fiscal Year 2023 First Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the meeting over to Byron Purcell. Please go ahead.
Byron Purcell: Thank you, Regina, and good morning, everyone. We welcome you to our fiscal 2023 first quarter earnings conference call. Heyward Donigan , President and Chief Executive Officer; and Matt Schroeder, Executive Vice President and Chief Financial Officer will begin the call with prepared remarks. Andre Persaud, Executive Vice President and Chief Retail Officer; and Chris DuPaul, Chief Operating Officer, Elixir will also join the call during the question-and-answer session. As we mentioned in our release, we are providing slides related to the material we'll be discussing today. These slides are provided on our website, investors.riteaid.com. While management will not be speaking directly to these slides, these slides are meant [Technical Difficulty] Before we start, I'd like to remind you that today's conference call includes certain forward-looking statements. These forward-looking statements are presented in the context of certain risks and uncertainties that can cause actual results to differ. These risks and uncertainties are described in our press release and Item 1A of our most recent annual report on Form 10-K and other documents that we filed or furnished with the SEC. Also, we'll be using certain non-GAAP measures in our release and in the accompanying slides. The definition of the non-GAAP measures, along with the reconciliation to the related GAAP measures are described in our press release and slides. And with that, let me turn the call over to Heyward.
Heyward Donigan: Thanks, Byron, and good morning, everyone. Thanks for joining us, and welcome to our first quarter earnings call. Coming out of fiscal '22, we continue to make strides transforming Rite Aid. Our first quarter saw us build on the momentum and deliver solid results across the business. I'll take a few minutes to update you on our quarterly results, and then I want to spend some time talking to you about some of the key actions we're taking within our 3 strategic pillars and the measurable progress we're making. Revenues for the quarter were $6 billion compared to last year's first quarter revenues of $6.16 billion. Our adjusted EBITDA this quarter was $100 million compared to last year's first quarter adjusted EBITDA of $138.9 million. This decrease was in line with our expectations. Our ability to weather the height of the pandemic, delivering life-enhancing and life-saving medications in vaccines and testing was really remarkable. And I'm proud of our team for getting back now to the core business and showing strong results. Now we're refocusing on becoming a leading full-service and modern pharmacy, with a team of 6,400 expert pharmacists and another 43,000 associates, caring for our communities and customers we serve to drive better health outcomes. This is what we stand for as a company and allow me to explain a little bit more. So defining the modern pharmacy. On our last earnings call, you heard me speak about what the modern pharmacy means to our marketplace. To recap, despite the size and maturity of parts of the traditional pharmacy marketplace, like much of health care, there are still systemic unmet needs. We have not lost sight of the fact that 60 million Americans are living in rural communities and do not have access to high-quality health care. One in 7 Americans live more than 5 miles away from the nearest pharmacy. 29% of Americans failed to take their medications as prescribed, because of the cost. And most notably, underutilization of medications drives $500 billion-plus a year in avoidable medical costs. And even those who can afford their prescriptions and/or have access to pharmacies, they are overworked and stressed. A trip to the pharmacy is viewed as yet another errand on top of their 3 to 4 stops a day. But remember, these are prescriptions. They're life-saving and life-enhancing medications so it's really important people get their prescriptions on a timely basis. All of this is why we have placed a relentless focus on expanding the possibilities of the pharmacy teams to meet customers and communities wherever they are. Rite Aid has advanced well beyond the single option of coming into a store. We have a significant infrastructure in place across channels to offer customers convenience and multiple ways to interact with a member of our pharmacy team, 24/7, including chat. We're enhancing our digital capabilities, advancing Buy Online, Pick Up in Store and expanding both our mail and delivery services options. These services encompass both prescriptions and retail goods to create a one-stop shopping experience. This is the modern pharmacy. So how do we continue to grow to improve both the health of our company and the health of our customers. This brings me to the growth pillars that I outlined on our Q4 call. We're focused on winning in 3 key areas: deepening our share in the markets and segments we currently serve; expanding our offerings to new markets, segments and customers; and creating new offerings by leveraging our portfolio of assets to meet the evolving needs of customers and other stakeholders. Let me begin with deepening our market share and the segments we serve. Starting with our retail pharmacy business. Q1 saw a complete rebound in acute and maintenance scripts better than pre-pandemic levels. For maintenance scripts, Q1 was up 1.4% versus FY '22 and up 12.3% versus FY '20. For acute scripts, Q1 was up 11.9% versus FY '22 and up 1.1% versus FY '20. As people are going back to the doctor and also going back to living their lives, we are seeing an increased need for acute prescriptions, most notably cough and cold. We have been full steam ahead activating a number of adherence initiatives that will not only help our customers live a healthier life, but also deliver meaningful improvements in gross profit this fiscal year. Examples of these initiatives are increasing customer enrollment and courtesy refill and improving our 90-day fill rate, both driving adherence. To give you a sense of how this will impact our business on a go-forward basis, an improvement in adherence of just 1% provides $20 million in gross profit dollars. You'll also recall that last year, we launched Rite Aid Rewards, a new customer loyalty program that makes it easier for more customers to engage and save. In the coming quarters, we'll speak to how we plan to further maximize this program and drive higher consumer engagement in both pharmacy and front-end sales. We continue to enhance our new beauty assortment in the front end and had encouraging results on our new line item launches in our color cosmetic business. This resulted in a 5.7% revenue growth in the color cosmetics department this quarter. People are wearing lipstick again. And relative to inflation, our top goal is to stay competitive on prices while preserving gross margin. And looking forward to the rest of the year, we expect to do the same. We're also keeping a very close eye like everybody on inventory. Like others, we project some seasonal issues relative to the weather and delays in shipments. But overall, we plan to continue to show reductions in our inventory levels. Turning to our specialty pharmacy business. We have continued to increase access to a number of LDD networks, and we're also actively working to grow dispensing volumes both in the Elixir book of business, as well as expanding network participation across a broader set of payers. We're also focused on driving down our overall cost to fill in both our mail order and specialty businesses with an eye toward developing white label solutions to drive mail order volumes. Now to turn to the PBM services business. Our strong network contracts, new rebate capabilities, innovative clinical services and expertise in government programs have enabled us to add 80,000 new lives for January 1, 2023 start date. These are more new lives than we sold last year. And additionally, the selling season is still in progress, and we've got close to 1 million lives remaining in the pipeline for January 1, 2023. On the Elixir insurance side of the business, our Part D plan, we have recently submitted our bid for 2023. And as we've discussed before, we expect to reduce our membership as we've signaled that we need to manage the profitability of this business and continue to focus on growing our own customers in the government business. Our next growth pillar is expanding our offerings to new markets, new segments and customers. As consumer discretionary spending comes under significant pressure, we're investing in our own brands which provide value and options for the customer. As we've discussed, we've been on a journey to repackage, rename and relaunch our own brand portfolio. This quarter, we launched 546 or 23% of our newly designed products, and we have exciting new launches coming in the back half of this year. We're also on track to open our new small format pharmacies this year in underserved rural markets in Indiana, Upstate New York and Virginia. And speaking of rural markets, we recently announced our partnership with Homeward, a company that's aimed at rearchitecting health care for the 60 million Americans I mentioned more living in these communities -- mentioned earlier, living in these communities. Beginning this summer, with a partnership in rural Michigan, we'll be working with Homeward to provide an integrated pharmacy and clinical services offering to our mutual customers. And finally, we're creating new offerings by leveraging our portfolio of assets to meet the evolving needs of customers and other stakeholders. We've been focused on leveraging technology to enhance the customer experience and the overall health and wellness of our communities. Our recently announced partnership with Afterpay further enables us to do that. We were the first national drugstore chain to offer AfterPay's flexible payment solution to shop online and pay later. We were able to help our customers access and have flexibility when paying for everyday goods. Also, we're launching a new direct-to-consumer digital platform later this summer, and we'll discuss this in our next earnings call. These are just examples of how we're diversifying our business for long-term success. Turning to our financial position, as you'll hear momentarily from Matt, we continue to remain on solid footing and optimize our capital structure. We reduced retail SG&A expenses by $40 million this quarter, closed 87 stores ahead of schedule and are taking steps to drive further efficiencies through our business. We're on track to meet our annual savings target of $170 million that we outlined last quarter. As a reminder, we have no debt due until 2025. And we are constantly looking for opportunities that will help us achieve our target of a 4.5x leverage ratio by the end of fiscal 2025. Our $1.7 billion in liquidity provides additional runway to invest in our business and continue to innovate our offerings. And we expect to generate free cash flow to pay down additional debt this year to further strengthen our financial position. So to close, I'm really energized by where Rite Aid is today, and I'm really excited for the future as we get back on track, back to our [ARC] evolution that we planned before the pandemic hit. And as we continue to execute on our strategy, I do believe that Rite Aid will be an investment that will yield meaningful long-term returns for all of our stakeholders. Now I'll turn it over to Matt to go over the financial performance. Matt?
Matt Schroeder: Thanks, Heyward, and good morning, everyone. We've mentioned on previous calls that paying down debt is a top priority for the company. Recently, we took an additional step to improve our capital structure. We launched a tender offer to use up to $150 million of revolver availability to purchase back outstanding bonds at a discount. Through this transaction, we expect to pay down over $100 million of our 2025 bonds, plus lower our overall debt outstanding. This will also bring an additional benefit of interest savings, as we are replacing these bond borrowings with revolver borrowings that have a lower rate. Now I'll review our first quarter results in more detail. As Heyward stated, our results were in line with our expectations with revenues of $6 billion, adjusted net loss per share of $0.60 a share and adjusted EBITDA of $100.1 million. Going into the Retail Pharmacy segment. Retail Pharmacy segment revenue for the quarter was $4.35 billion, which was $6.3 million lower than last year's first quarter. This was driven by the expected decrease in COVID-related vaccine revenue and store closures, offset by the increase in non-COVID prescriptions. Retail Pharmacy same-store sales increased 4.6%, with an increase in same-store pharmacy sales of 6.6%. We administered 1.7 million COVID vaccines in the first quarter of 2023, compared to 4.7 million in last year's first quarter. Outside of the vaccine impact, maintenance scripts were up 1.4% and acute scripts were up 11.9%. Front-end same-store sales, excluding cigarette and tobacco products were flat to last year. Front-end same-store sales were driven by increases in over-the-counter products, offset by decreases in alcohol and seasonal sales due to supply chain disruptions. First quarter Retail Pharmacy adjusted EBITDA was $73.7 million or 1.7% of revenues compared to last year's first quarter adjusted EBITDA of $94.9 million or 2.2% of revenues. The decrease in adjusted EBITDA is attributed to lower COVID vaccinations and testing, offset by increased non-COVID prescription volumes, improved front-end margins and reduced SG&A. As Heyward said, our Retail Pharmacy segment adjusted EBITDA SG&A expenses were $40.5 million or 90 basis points better, as a percent of revenue, than the prior year first quarter due to lower payroll, occupancy and store operating expenses, driven by store closures and our cost reduction initiatives. We expect to meet the cost reduction targets of $170 million that we discussed in our year-end earnings call. I'll now shift to our Pharmacy Services segment, Elixir. For our first quarter, Elixir saw revenues decreased $146 million or 7.8% to $1.7 billion due primarily to a planned decrease in Elixir insurance membership and the previously announced client loss, slightly offset by our new rebate partnership, as well as higher utilization of high-cost drugs. Elixir's first quarter adjusted EBITDA was $26.4 million or 1.5% of revenues, compared to last year's first quarter adjusted EBITDA of $44 million or 2.4% of revenues. This was due to a loss of covered lives, an increase in costs related to client guarantees and an increase in the medical loss ratio at Elixir insurance, offset by benefits from our new rebate arrangement. It is important to note that this quarter's adjusted EBITDA of Elixir is not the anticipated quarterly run rate for the year, as we expect benefits from improved spread and rebate management and tight SG&A control. I'll now turn to our cash flows and balance sheet. Our cash flow statement for the quarter shows the use of cash from operating activities of $252 million, driven by the build of the CMS receivable, which we will securitize later in the year, increases in rebates receivable and timing of accounts payable payments. All of these are timing items that will reverse later this year. Cash used in investing activities was $55 million for the quarter. Included in net investing activities or proceeds from script file sales attributed to our store closings of over $30 million in the quarter. We continue to explore additional sale-leaseback options on owned stores to generate cash to pay down debt and expect to have proceeds from these transactions later in the year. Our net debt balance was approximately $3 billion at the end of the quarter due to the timing -- working capital timing differences I just described. We expect our leverage ratio to be in the low 5x range by the end of the fiscal year. Now let's turn to guidance. We are raising our revenue guidance and affirming the adjusted EBITDA guidance that we outlined on our fourth quarter call. Adjusted EBITDA is expected to be between $460 million and $500 million. Adjusted EBITDA at the Retail Pharmacy segment is expected to be between $320 million and $350 million, while adjusted EBITDA at Elixir is expected to be between $140 and $150 million. Total revenues are expected to be between $23.6 billion and $24 billion. We've increased our revenue guidance due to increases in utilization of higher-cost drugs at Elixir. We've lowered our retail revenue guidance slightly to adjust for front-end sales trends that we saw in the first quarter and their expected impact on the rest of the year. Adjusted net loss per share is expected to be between $0.66 and $1.19 per share. Capital expenditures are expected to be $250 million. We are making investments that are driven towards growing our business, including prescription file purchases and investments in digital and investments that are focused on driving efficiencies in our business by automating our supply chain and transforming our processes and technologies at Elixir. We are also making investments to improve our brand by refreshing stores in key markets. Interest expense is now projected to be $210 million for the year. This assumption includes Fed rate increases of approximately 300 basis points over the fiscal year, offset partially by the potential interest savings from our current bond tender. We expect to generate a working capital benefit of $60 million from inventory reductions and to generate positive free cash flow to continue to pay down debt. This completes our prepared remarks. And Regina, please open the phone line for questions.
Operator: [Operator Instructions] Our first question will come from the line of George Hill with Deutsche Bank.
George Hill: Yes. I guess, Matt, my first question is kind of a big picture question, which is that if you look at the $100 million in EBITDA that the company delivered this quarter, you take out $30 million to $35 million in the vacs, the business did $65 million. Of course, there will be a continuing benefit from the vacs, but the profitability of the business basically needs to double every quarter from this quarter to kind of hit around the midpoint of the guidance. You've talked about some of the embedded cost cuts. I guess what I would ask is, could you and Heyward kind of talk through where you see the growth opportunities versus the cost reductions. Kind of what I'm trying to get to is that -- are we -- do we feel like we're back in the growth phase of the business coming out of the pandemic? Or are we still more than a shrink-to-grow type outlook?
Heyward Donigan: Yes, George, it's Heyward. Thanks. I think it's a combination. We are -- we've shown that we can grow our scripts, even cycling the significant benefit we got from vaccines last year. So our core scripts are up. And that's just the beginning. We haven't even really tapped into yet some of the adherence courtesy refill and maintenance medication opportunities that we have in front of us. Also, while front end was flat as the quarter, the front-end sales comps actually were increasing in the quarter. So we have seen strong momentum within the quarter. And as I mentioned earlier, we're seeing strong sales results on Elixir. So we've sold more so far this year than we sold at this time last year and our retention rates are higher. So that's the growth story. And we talked about specialty mail and some of the other opportunities. I'll let Matt comment just on the economics and the SG&A efforts.
Matt Schroeder: Yes. I think the other thing to add regarding kind of the trend of revenues for the year is, just keep in mind that we have a lot of flu immunizations that we expect to do in the third and the fourth quarter in the year. And so some of our script growth is back-end loaded in the year as you think about modeling. And then certainly on the SG&A side and as Heyward said, George, this is a -- we've got to be able to both grow the business and also get more efficient on the efficiency side. We -- as I said in my comments, we've basically finished closing all the stores we had targeted to close during the quarter. We got the benefits we expected from that during the quarter. I expect those benefits to ramp in the last 3 quarters of the year. And between that and some of the back-end loaded aspect of the cost-cutting initiatives we're working on and some margin improvement opportunities at Elixir, those are all the factors stirred together that give us comfort in maintaining the EBITDA guidance.
George Hill: Okay. If I can nag you out a couple of more quick ones. I guess the $40 million in adjusted EBITDA SG&A savings in the quarter, is that a number that you feel is safe that we can annualize? Or is that more of a one-time benefit --
Matt Schroeder: [Technical Difficulty] initiatives that we have that we're just starting to get some traction on. So I think you could definitely annualize that number.
George Hill: Okay. I'll throw one last one and then I'll hop back in the queue, which is I think the noise in the space last week was around Walmart planning to raise pharmacy tech wages. I guess maybe talk more broadly about labor? And are you guys continuing to see labor wage inflation? Do you guys suspect that, that could drive another round of cost pressures for you guys? And I guess how exposed you guys feel to your pharm tech being pushed away and the potential for another round of rising wage costs.
Heyward Donigan: We are in a very good position on wages and labor. So we cycled through wage increases last year, which are already reflected in our numbers. We don't expect to do any other additional significant wage increases. Andre can talk about specifically how we're positioned from a labor perspective.
Andre Persaud: Yes. Thanks, Heyward. Good morning, George. Yes, we did see the announcement from Walmart. And now let me start with that here. At Rite Aid, we've been very focused on our technician training and hiring for more than a year. Relative to what was announced, we have a very comprehensive training program for all of our new technicians, prior to them starting in opportunities for progression commensurate with pay. We're very confident, and we're very focused on staying competitive, and we feel very good about where we are with our technicians right now. In regards to the general wage inflation, as Heyward mentioned, we have been working at this for over 24 months. And we made some strategic investments in Q4 of last year, which are modeled into our plan for this year. So at this point in time, we feel very good about our frontline hiring situation. And so from that perspective, we don't see much pressure for the back half of the year on wages for us.
Operator: Your next question will come from the line of Elizabeth Anderson with Evercore.
Elizabeth Anderson: I was just wondering if you could maybe start off by talking about the benefits of the new loyalty program in the quarter and how do you expect those to ramp for the rest of the year?
Heyward Donigan: I'll start by saying that the benefits of the new loyalty program, Rite Aid Rewards, has largely been improved margin in the quarter because of the lack of having to accrue for these discounts that we were giving to some customers who actually didn't even -- weren't even aware that they were earning the discount. So Andre, can you update on the new rewards program?
Andre Persaud: Absolutely. It's an exciting new program. We're very early in this. We actually have a big bang launch plan in the next 30 days. It is a points-based program relative to a discount program and a much more efficient spend of our margin dollar investment. For us, it appeals to a much larger consumer base. It's a digital-first program and is -- the goal is to drive customer acquisition through that so we could be much more personalize and how we speak to our customers. The program you're in points are both online, brick-and-mortar spend, both pharmacy and front end. And as we mature into the program in the back half of this year, there will be offers that extend beyond products. That really brings us in line with our overall purpose, which is, of course, help you achieve health for life. So very early, but excited about our progression for the next three months here.
Elizabeth Anderson: So you still expect that in terms of -- I think last quarter, you talked about like a $30 million positive contribution from between that and private label. So you would still think of that as being on track versus what you said last quarter?
Matt Schroeder: Elizabeth, this is Matt. That's exactly right. Between those two items, we expect a $30 million gross margin benefit on the loyalty program, on the lack of the reduction in markdowns in particular. We were very pleased with what we saw from a bottom line benefit in the first quarter.
Elizabeth Anderson: Got it. Can you…?
Heyward Donigan: Just.
Elizabeth Anderson: Sorry, go ahead.
Heyward Donigan: No, go ahead.
Elizabeth Anderson: I would just switch topics unless you had something else to add there, just in terms of COVID testing volumes in the quarter. Obviously, that's been something that's been moving around as between sort of switching of PCR and Home Test. So I was wondering if you could talk about that, whether it's sort of similar cadence to the vaccine drop off sequentially or something else that you're seeing there?
Heyward Donigan: Well, we tend to see the vaccines and the testing move in concert with each other. And certainly, the vaccines have dropped off, but as you know, there's still a lot of hotspots in the United States, the West Coast being the big one right now. So we are still seeing strong sales in home testing, and we are also doing PCR testing as well. Matt, I don't know if you have some specifics you want to go over.
Matt Schroeder: Yes. I would say on the PCR test, certainly, we saw that drop off over kind of quarter-over-quarter. But demand for the over-the-counter test, the antigen test remains strong. We probably did about $35 million worth of sales in antigen tests in the first quarter. And that cadence was pretty steady over the quarter, and it continues to be a high demand even as we move into the second quarter.
Elizabeth Anderson: Okay, right. And just so that we remember that would go in the front end sales, right, for the home –
Matt Schroeder: For us, we run the majority through the pharmacy because they're a covered benefit with some also coming through the finance. So I would say the mix is about 75% in the pharmacy and about 25% in the front end.
Elizabeth Anderson: Okay. And then so if I was -- if I had a PCR test is something like 300,000, that's roughly -- is that ballpark sort of right kind of area?
Matt Schroeder: Probably a little less than that, quite a little less than that for the quarter.
Elizabeth Anderson: Okay. Perfect. And then maybe, sorry, 1 last question on the stores. I just want to make sure I have the cadence of the stores for the year. Obviously, versus my original expectations, you obviously closed a bunch of the stores earlier than I expected, which is fine. So I just want to understand just in terms of the total store closure cadence for the rest of the year. And then you talked about the rural store openings in New York and Virginia, et cetera. So do those count as sort of full new stores and the store count? And how do we think about how many you're adding in the rest of the year?
Heyward Donigan: Well, think of us closing 145 stores by June. So this will be largely behind us. And then we will be opening anywhere between, let's say 5 and 20, just depending right now on, frankly, how fast we can find real estate, how fast we can get the real estate branded and into our formats as well as ensuring that we get a staff to standard. So I would look for us to at least minimally be opening 5 stores this year with an eye toward opening 20 within months after that.
Elizabeth Anderson: Okay. So -- and those count as sort of still like full types of stores like versus the other store. They're small format.
Heyward Donigan: Yes. Yes. I'd still call it a store. But just to run that thought out, they will be pharmacies with limited over-the-counter front end. Think of them as like a European apothecary where really a trusted health care frontline health care professional in those markets, where we depend on McKesson for the supply chain instead of our -- having to deal with a lot of our own inventory and rent on the front end. So -- but definitely consider the store.
Matt Schroeder: Elizabeth, from a modeling and statistical standpoint, it is definitely a discrete story.
Operator: Your next question will come from the line of William Reuter with Bank of America.
William Reuter: Good morning. Given the high incidence of COVID still across the U.S., is the number of vaccines that you're administering, I guess, into the second quarter above your previous expectation? And is this potentially a tailwind that was maybe not foreseen at the beginning of the year.
Matt Schroeder: So Bill, this is Matt. We had said it last quarter that we expected a vaccine decline for the full year to levels of 20% to 30% of what they were in fiscal '22. And I think that's a number that we're still expecting. As far as expectations for cadence, candidly, it's a little hard to have expectations of exactly what the cadence is going to be quarter-over-quarter or month over month. This is been very kind of difficult to predict. So I think -- if anything, what we saw in the first quarter of the 1.7 million probably gives me even a little more confidence that we're going to be well within that 20% to 30% kind of reduction range over last year. But beyond that, so that's -- we plan for our guidance. That's what we're sticking with, and that's our best thoughts until unless facts change as we go forward.
Heyward Donigan: Yes. We saw more than we expected in the first quarter. And then we are now expecting and counting on a version of a vaccine that comes out that is effective against Omicron, whether it's the current variants or the new variant, that's what they're working on. And so we do expect that. We can't really predict what the uptake will be, but we anticipate there will be an uptake since it's likely to be a different variant version. And then, of course, also pointing to what we think will be a very strong flu season.
William Reuter: Got it. Yes, I didn't know if the 70% to 80% reduction, it would be your expectation it might be less than that at this point, given it seems like everyone I know gets -- continue to get6 COVID. But okay. The second question is you mentioned the 80,000 additional lives for Elixir that you've attained, and there's still 1 million potentially that you're going to be getting? I guess, what's your degree of confidence in that additional potential million. What percent might be reasonable that you would attain of those? And then if there has been anything else in terms of losses of lives, I'm trying to think about next 2023, that calendar year, how Elixir is shaking out.
Heyward Donigan: I'll let Chris answer.
Chris DuPaul : Thank you for the question. Just to clarify a bit, taking you down through the numbers. The 1 million lives that Heyward referenced are the lives that we still have active in our pipeline inside of our target markets. So those are -- that's a business that is up for bid right now for [1/1/23]. So out of that 1 million, we expect to win a portion of those. Where we are right now in terms of our new life count for next year, I think in our last earnings call, we've talked about -- we've set a goal to try and win 300,000 new live At the time, we've had a pretty strong start to our selling season, particularly on the health plan side. As we've moved into more of the commercial book, that slowed a bit. As we've seen more clients sticking with incumbents. That said, we are still expecting to have the strongest selling season that we've had in several years at Elixir. And so we feel really good about where our life count is headed. Our retention rate is still expected to come in right around 95%. And we did retain our largest client, MCS, earlier in the year. So we're feeling really good about where our lives are headed going into [1/1/23], and that's sort of how we get there.
Operator: Your next question will come from the line of Karru Martinson with Jefferies.
Karru Martinson: When you look at the store closures and the liquidation of scripts where you had them, what was the benefit to the quarter in terms of the asset sales? And are those value still coming in that 10% to 20% range that you were looking for?
Matt Schroeder: So Karru, it's Matt. The benefit for the quarter from a proceeds standpoint of the asset sales is about $30 million. And the valuations that we're seeing, I think, both on the buy side and the sell side, because we are out in the market, obviously, doing script file buys are in that $10 to $20 range.
Karru Martinson: Okay. And then when you look at the opioid litigation, is that what the add back here for the stock expenses, the add back for the litigation expenses? Or is that separate there? And then kind of any update on the litigation expense and outlook?
Matt Schroeder: So the litigation add-backs were not related to opioid related to other kind of long-standing matters that we did settlements on during the quarter. And the opioids, I think nothing really new from the last quarter where we talked about. We've had some targeted settlements and in some key areas that kept us out of -- kept us out of bellweather cases. Other than that, no data to report.
Karru Martinson: Okay. And just lastly, on the revolver draw. Is the right way to think about it, we've kind of funded the store closures on that front, and so that we'll continue to work that revolver down as we go through the course of the year?
Matt Schroeder: Well, the store closures, I expect to be an EBITDA benefit and actually help us against revolver draws because we're getting out stores here that are negative EBITDA. And that's really between that and some of the proceeds we're getting on selling scripts when we can't transform other stores, I actually look at the store closure program as cash accretive.
Operator: Your next question will come from the line of Jenna Giannelli with Goldman Sachs.
Jenna Giannelli : I know you've called out and emphasized a lot. That's a strong liquidity position. I guess, can you just -- can you speak a little bit to just your vendor relations. Any changes in terms that you may have seen? And sometimes, I guess, with the rating agencies, the speculative default rating update on the back of the exchange, I guess, have there been any questions from some of your vendors around that that have needed to be clarified?
Matt Schroeder: The short answer, Jen, is no. No questions need to be clarified. Relationships with vendors are good, no term changes. Our vendor partners are very supportive. And -- we've actually been -- Byron and I have actually been pretty proactive in going out and talking to vendors about the bond tender and the expectation of a potential speculative default and they actually get it, they understand it and they're not concerned about it. So we feel very good about where we are for vendor relationships.
Jenna Giannelli : Awesome. Good. That's great to hear. And then you adjusted in an earlier question just on the PBM side, around the confidence in the full year guidance and that being embedded in the expectation of increased lives. But maybe just a little -- I mean, right now, we're still run rating below where the full year EBITDA guide is, I guess, just in terms of the expected benefits of the cost savings and the benefits from the rebate aggregator. When we can really expect to see those come through? Is that going to be the primary driver of the pickup in EBITDA on the PBM side in the back half of the year?
Heyward Donigan: I would say it's a combination of all the above. But just to reaffirm, that we are sticking with our guidance on the Elixir business of $140 million to $150 million in EBITDA. We have a high level of confidence around that. That would represent a range of 24% to 33% EBITDA growth for the year for Elixir. It's a combination of relentless focus on improving our network management, our rebate opportunities, selling business and also getting more efficient.
Operator: Our final question will come from the line of Carla Casella with JPMorgan.
Carla Casella: Most of mine have been answered, but just a couple of follow-ups. There's an add back in your adjustments for EBITDA for the full year guide of $18.3 million for litigation and other contractual settlements. Have you said what that's related to and kind of where you stand in any of the opioid settlements?
Matt Schroeder: So the $18.3 million in the guide related to the litigation settlements that we actually had this quarter, there were non-opioid long-standing other cases that we had settlements for. And on the opioid really, Carla, no change from where we were a few months ago when we reported out. We've had some success in doing some targeted settlements in New York and Ohio that have kept us out of bellweather cases, and we're pretty pleased about that. Other than that, nothing there is to report.
Carla Casella: Okay. And then the revolver draw for the bond tender and also this quarter, just the additional revolver draw, do you expect to be able to pay that down over -- is there a time frame you target to be able to be out of the revolver?
Matt Schroeder: Well, by year-end, we expect to have generated positive cash flow in our business and be able to pay down debt, and I expect that revolver draw to get at the end of the year to be in the same kind of the ZIP code as it was at the beginning of the year. A lot of what happened this quarter with all the timing.
Carla Casella: Right. Exactly. Okay. And then on Elixir, it's sounds great that you're getting more lives than you're seeing in that revenue guidance. The margin is a little bit lower than what we were targeting. Can you just give any kind of puts and takes to the drivers of Elixir gross or EBITDA margin?
Matt Schroeder: Yes. I think some of the revenue guide that we have for this year and the change for this year's revenue guide is really around utilization of high-cost drugs, which is really a pass-through. So that's going to have a little bit of a negative impact on your margin rate. So that's the kind of push and pull between the rate and the revenue guidance and the fact that we kept EBITDA consistent with what our guidance was before, that you're getting a little bit of a trade-off and margin rate there. As we've said about some of the spread and rebate management initiatives that we have, we do expect PBM margins to get better in the second and third and fourth quarter.
Carla Casella: Okay. So it's not that the underlying business is coming in lower margins, it's clearly those higher cost drugs that you're talking about, the higher price points.
Matt Schroeder: Yeah, this higher drug cost is going to have basically -- it's going to have a negative impact on margin rate from a gross profit dollar standpoint. We're still in good shape.
Operator: And I'll now turn the conference back over to Heyward Donigan for any closing remarks.
Heyward Donigan: All right. Well, thank you, everyone, for your questions. Really appreciate it. And most importantly, for your interest in Rite Aid. We are maintaining our focus on becoming a leading full-service and modern pharmacy. We have a team of 6,400 experts pharmacists available to you 24/7. And please do take advantage of that opportunity to ask an expert. And then we have another 43,000 associates caring for the communities and customers we serve to drive better health outcomes, because that's what this is all about. That's what we stand for as a company, and it's what we expect will drive long-term shareholder value. Thank you.
Operator: Ladies and gentlemen, that does conclude today's meeting. Thank you all for joining. You may now disconnect.